Mike Schmidt: Good morning, everybody. I hope you're all well. Welcome to B&M's full year results presentation for 2025. Today, we're covering our performance through the 52 weeks ending March. 29. I'm Mike Schmidt, the Group CFO, and I'll be leading the presentation today. Joining me, 3 familiar faces: Gareth Bilton, our -- sorry, our Buying Director, almost got that wrong. Moved on. Jon Parry, our Supply Chain Director; and James Kew, our Retail Director. Today's presentation clearly is all about the results for 2025. There's clearly been challenges that we faced, but we're addressing those in the short term, and we'll talk about that. And ultimately, the presentation today is also about the resilient performance that we've delivered for the full year and how our investment case for the business continues to be attractive. I should say upfront that we're also looking forward to Tjeerd Jegen joining as CEO in just a couple of weeks' time. And I know that he's very much looking forward to meeting all of you as well once he's had a chance to work through his induction. I should also mention upfront that as you may remember, 2024 was a 53-week financial year. As we go through the presentation for 2025's outturn, you will see, to help you assess the underlying progress that we've made, we show a 52-week prior year comparison where that's the most appropriate thing to do. So just starting off with a bit of a summary. Overall, in 2025, the disappointing like-for-like sales that we saw felt actually translated into resilient profit delivery and continued total revenue growth. Looking at the headline shape of the announcement, revenues reached GBP 5.6 billion, which was up 3.7% year-on-year. This growth was primarily driven by the new stores across the group contributing well. The U.K. like-for-like performance stemmed from both the challenging market environment and also our own execution. We'll discuss our reflections and action plan in more detail shortly. Our operating profit measure of group adjusted EBITDA before IFRS 16 was GBP 620 million, which is up GBP 4 million on the prior year. This is resilient given the negative like-for-likes. Our leverage ratio remains healthy at 1.26x on a pre-IFRS 16 basis, and that means we're proposing a final dividend of 9.7p, which brings the full year dividend up to 15p per share. That's an increase of 2% versus 2024. That means when you sort of step back, over the last 5 years, we've returned GBP 2.1 billion of cash to shareholders. And actually, if you just look at the last 3 years, post COVID, it's been GBP 1 billion. To put that in context, that GBP 1 billion is over 1/3 of our current market capitalization today returned to shareholders in the last 3 years. And underpinning that payment, our cash generation this year was over GBP 300 million once again or around 10% of our current market capitalization. That stems from a group adjusted return on capital employed that stands at a strong 30.4%. Finally, I should say the redomicile is progressing. The process is now focused on Jersey, and we expect it to complete within the calendar year. That's going to simplify processes internally. It will reduce our operating costs, but it will also give us the flexibility to also return capital and drive compounding value creation through buybacks. So let's delve deeper into the financial performance. Slide 6, looking at our summary profit and loss. Revenue and adjusted EBITDA, I've already mentioned, and I will talk about later. And you can see then that the EBITDA we've generated dropped through to a lower level of earnings per share of 33.5p relative to 35.9p last year, and that's due to the depreciation impact of a larger asset base and also the higher interest rates that now fully apply across our capital structure. We have, of course, extended all our debt maturities. So I expect the divergence between the operating profit and the EPS progression trends to now start to stabilize. And importantly, I'd also repeat a second time, the point that our return on capital remains strong, above 30%. And this will continue to be a feature of the investment case for our business. Slide 7. Our chart here illustrates the year-on-year total revenue growth building up from 2024. Like-for-like sales, you can see is the big block there, decreased by GBP 119 million, which was a 3.1% full year figure negative like-for-like. With the underlying figures in Q4 continuing to be negative at minus 1.8% on an underlying basis, we've got clear plans to address this in 2026. And some external factors clearly last year, such as no Easter falling within the year and the wet spring weather, should not repeat. Our net new stores and relocations added GBP 280 million net overall, driving the group number. Heron Foods saw a small decrease, while B&M France added GBP 40 million of revenues. And that brings us up to our 2025 revenue total of GBP 5.6 billion. Clearly, for us, overall, the main challenge last year was the like-for-like performance. I'll set that aside for now, but I'll come back and talk about it in more detail. Our gross profit margin has shown resilience, increasing from 37.1% to 37.6% in 2025. B&M U.K. contributed an increase of 42 basis points to this. It's important to note here, though, that overall, we've been reducing or holding flat prices over the period rather than increasing prices. The driver of the higher B&M U.K. gross profit margin was the mix between general merchandise and FMCG and also the mix within each of the categories within general merchandise as well towards higher-margin segments. Where we saw factory gate price benefits, transport cost reductions, FX benefits, we passed those back to customers. And we've consciously driven ASP declines as much as 5% for home categories and 2%, 3% reductions in many other general merchandise categories. So the benefits on price and value that customers are getting are substantial. B&M France and Heron contributed the balance of performance. Again, the 10 basis points there really comes from the mix between France and Heron's relative growth. Adjusted EBITDA. So for B&M U.K., adjusted EBITDA was stable at GBP 545 million, with the lower like-for-like and increased operating costs being offset by the higher gross margins and the profits of the new stores coming through. B&M France adjusted EBITDA increased by GBP 2 million to GBP 48 million, with the higher sales offsetting increased operating costs. And for Heron, adjusted EBITDA was GBP 30 million, which is down from GBP 35 million, resulting from the scale effects of lower revenues. And for the group overall, group profit performance was also supported by lower central costs and charges in the year. So now focusing on our underlying operating costs. For the group, overall, operating costs increased by 7.2% year-on-year. B&M U.K. was clearly a large part of that, where we saw costs increase by 8% to GBP 1.1 billion. That was primarily driven due to the increased store estate that added 6.9% of additional sales. So the 8% underlying operating costs comparing with the store estate adding 6.9% of additional sales. But also of course, B&M U.K. was managing higher volumes from the lower average selling prices and the increase in the minimum wage of 9.8% last year. So significant cost headwinds that we were facing into and good management process there overall on the operating cost base. B&M France underlying costs increased by 9.9% to GBP 195 million, which was 36% of their sales. This reflects the volume growth and also elevated transport and distribution costs as we went through our warehouse management system upgrade. For Heron, operating costs increased by 3.1% to GBP 144 million, which is 26.3% of sales. I think there, very tight cost control offsetting the large rise in national minimum wage within the business. So cash, we've got a very strong cash discipline in this business. You can see here the cash flow as an overview. EBITDA on an IFRS 16 basis, the statutory unadjusted number was GBP 841 million for the year. The change in working capital was an outflow of GBP 64 million, which is slightly larger than previously expected. But clearly, that's a moment-in-time balance, and affecting this was the timing of Easter being later, meaning that we're stocking chocolate Easter eggs and also higher stock in transit as we managed the well-publicized shipping environment and tariff environment. Across the 2 years, working capital has risen by GBP 71 million, which is a proportionate increase when you consider that we have added a total of 115 net stores to the estate across the group. After income tax paid, net CapEx and IFRS 16 lease payments, our post-tax free cash flow was GBP 311 million. Net debt to EBITDA, 1.26, is right at the midpoint of the conservative 1 to 1.5x range that we focus on. And CapEx was GBP 111 million, which is down from 2024's GBP 124 million, with lower spend on new stores largely being down to the timing of payments, timing of works ongoing and also slightly different size footprints. The lower spend on infrastructure, again, I think it's more phasing. In particular, in the early part of the 2025 year, some energy efficiency spend programs that have been multiyear programs reached their natural end and are already rolled out across the full estate. I think total CapEx, excluding new stores as a percentage of our net sales was 1%, and that range you can see on the slide of 1% to 1.2% is a pretty consistent level that we've previously seen over time. So that covers the financial performance. Clearly, we had lower sales than we would have liked, but within that context, resilient profit number and good cash generation for the business. So I'll move on to the operating update. A few overall reflections on the year we've just had. Firstly, as mentioned already, addressing the like-for-like performance remains our key internal focus. We believe the underperformance stems both from the external factors, but also our in-store execution within the FMCG category and also the general merchandise average selling price deflation. It's very important to split those 2 parts of the business as the causes are different and so are the fixes. Fundamentally, though, we do believe that the challenges are fixable, and the plans are being implemented. And if we look at the things that are working well for us, our new stores are performing as we'd expect. We continue to strengthen our supply chain infrastructure. Jon will talk about that. And most critically, the strong fundamentals of our business are unchanged. That is to say we've got a good consumer proposition that should benefit from long-term global trends towards value and discount. We've got an advantaged cost base that supports our everyday low pricing, whilst keeping high profit margins. We've got a capital- light asset base, and that ultimately means we've got strong return on capital employed and cash returns to shareholders. Slide 14, going into more details of the causes of the like-for-like trend. It's important what -- to say upfront that what you see on this page is the like-for-like trend. And clearly, the total trends are different for both value and volume. And we have seen growth on a total basis across both volume and value for FMCG and general merchandise. As I said on the prior slide, it's important to split and look at the performance separately between the 2 categories. On the FMCG side, we saw negative like-for-like performance on both value and volume across several categories within FMCG. The scale of the decline in value and volume was comparable. And notably, overall, we've been seeing, as you can see for yourselves, far less than the reported grocery inflation for the sector as a whole, which I think various sources have been called out to be 2% to 4%. Potentially, the lower level of inflation that we're seeing has been due to some of the limited categories that we operate in. But of course, it's also due to how we work in terms of keeping our price advantage to the sharpest players in the market. With price and stock availability having been in the right place also on the FMCG side during 2025, we think the cause is more about the in-store execution, by which I really mean the space allocation, the presentation, the ranging. We've already implemented in-store actions in FMCG in the first quarter this year in order to drive like-for-like performance through growing our volumes. And Gareth is going to pick up some of the specifics on those actions in detail very shortly. On general merchandise, in contrast, we saw like-for-like volume growth. That's particularly important as the core profit driver for the group. We did, however, experience a decline in like-for-like value due to the lower average selling prices that resulted from better buying. That really was an active choice that we made to pass the benefits of our better buying on to customers. We think that's the role of a discounter. So we saw up to a 5% average selling price reduction in home categories, 2% or 3% in categories like toys, electrical, Christmas. Gareth is going to talk about our plans to drive average selling prices this year. Critical takeaway, though, for you is the point that the trends between the categories are different, and the strategy to move forward is different. I'll now hand over to Gareth to explain this commercial approach further. However, I think Gareth will start by sharing some of the trends we've seen in our customer base that add some useful context.
Gareth Bilton: Good morning, everybody. I'm going to spend the next few minutes talking to you a little bit around FY '25 performance, but predominantly around our customer and some of the FY '26 actions from a trading perspective. So first of all, as Mike just alluded to, I will talk about our customer. So we talked before about our core customer sitting in that lower income bracket, and this slide brings that to life. That -- the graph clearly shows that 65% of our customer base sits in the annual credit -- annual turnover credit bracket of GBP 40,000 and below. Our product range is heavily geared towards this group, and particularly from Q1 onwards last year. However, it's also worth noting that we've got broad appeal, and you can see that in Q4 in our general merchandise ranges. We saw the greatest market share gains in the GBP 50,000 to GBP 100,000 credit turnover profile, and that's a real indicator for us of customers trading down. This gives us both confidence that the actions we're taking around ASP are the right ones, and it gives us opportunity to grow revenue from a broader customer base. I'll talk more about that shortly. You probably also saw recently in The Times, The Mail and The Express reporting on growing trends of celebrity shoppers, Molly- Mae, Carrie and Boris Johnson, they're probably the -- are more memorable. So moving on from our customer to our customer mission. We've long maintained we're not a grocer, and that -- this slide brings up a different proposition to life. In the grocers shown on the pillar on the far left, almost 87% of their sales are driven by FMCG. The discount grocers next to that is more profound than this at 94% and our closest major competitors at 77%. Our mix is 58% FMCG as trade driver, which is much lower than the others and follows a very different profile. And a recent Kantar survey that we just have done shows that 5 of our top 10 footfall driving categories are in general merchandise. And if you were to exclude nonfood and drink categories from that, that number rises to 8 out of 10 categories for footfall driving. So our customers are far more likely to associate us with general merchandise than traditional FMCG. So on our price proposition. The graph that you can see there shows the YouGov price perception picture, and it shows that over the past 5 years, our value perception has remained unchanged, and our price perception is better than both the grocers and our closest competitors. And despite increased market activity in recent times, particularly from the grocers, our price gap remains unchanged at 15% to 20% to the grocers, and that's on a post loyalty basis. We measure price through a consistent methodology and we're confident in the outputs of our index. But for added assurance, we've enlisted the services of an external benchmarking business. This relationship is very much in its early stages, but the initial findings and outputs from their work supports our own internal results. And this partnership gives us additional capacity to both broaden our comparison basket to make that wider and analyze further the output in the coming weeks. In summary from price, our real value remains strong. Our value perception remains strong, but communicating that value to our customers in a clear and consistent way with authority are the key objectives for the coming weeks. Mike talked about FMCG actions. I will talk you through some of the key points. I think the first thing to call out that James and his team over the last 2 to 3 weeks have lifted and shifter are 145,000 bays across FMCG, some massive workload. But I'm going to talk you through some of the key touch points now. So firstly, in health and beauty, so we've undertaken a full reset in the visual merchandising standards. We've undergone SKU consolidation in that range to make the range easier to shop and more inspirational. And we've added a trending products feature to make sure that the success and exposure we see on our social media channels around our product dupes and the real fashionable trending products are brought to life in store. We've also added a baby range in, following a successful baby event earlier this year, and the whole category has got an improved look and feel, an improved shopability with brand signposts to help navigation by subcategories in the aisle. Moving on to cleaning, which is a category that's in our top 3 footfall driving categories. That's undergone wholesale change, too. The most significant change here is a 25% to 30% increase in average per store in linear space. This has allowed us to grow the product groups where the market steps on. It allowed us to give more exposure to our volume lines, and we know that our customers love cleaning. There's always newness in those categories and are often supported by celebrity influencers, Mrs. Hinch, Vicky Pattison, Stacey Solomon as a few examples. And they got great exposure from the brands and on our social channels. I think the key point here is us being brilliant this year of the categories that our customers love us for is a key step-on. Food. Food is not insignificant. This category has been relaid. It's been blocked. So we've got greater definition by subcategories, and we've rationalized the SKU count in the range. We've also introduced value point of sale. In our larger footprint stores, we've introduced incremental chillers. We believe that these actions will step on our FMCG performance, both in our volume units and value sales for the year ahead. On general merchandise price benchmarking, we've always said that price benchmarking in general merchandise is more difficult than it is in FMCG. Often size, brand and qualities can skew the results, but we're very confident in our gap. Typically, our general merchandise gap is greater than it is in FMCG. We're at least 20% targeted against the industry benchmark. As Mike talked about, from Q2 last year, we've proactively deflated our general merchandise price points through the mix of opening price point products in the range. Categories such as homewares, DIY, indoor furniture, pet accessories and household textiles, we actively drove a lower ASP, passing on the value to the customer. So this lower ASP drove increased volumes at both total and like- for-like level, but it did impact our total sales value as a result. In FY '26, we're taking steps to restore that ASP. But before I just talk about that, I think it's a really important point to make that I reiterate our core customer, 65% of them sitting at lower income bracket. And those lower opening price points are crucial to our ranges. They drive volume and are targeted to the customers that love shopping with us on that treasure hunt mission. There's no plans to remove any of those lines from the ranges. But that said, we've got tremendous opportunity to enhance some of our range with higher price points at the other end of the range by focusing more on good, better, best. We'll keep the value entry products that we know work well, and we'll complement them with brands, bigger, high-quality products that remix the pricing architecture that allow those customers that can trade up to trade up into a more premium product. The important point to stress is our model is the same there. We're a value retailer, and these incremental ranges still offer a fantastic value for money, but in a different way into a broader customer base. Coupled with the shift in our larger footprint stores to focus on sales and profit density from the unit versus SKU density on shelf where we've got good heritage in some of these categories, and our larger store footprint gives us a good platform to introduce them and enhance them into our ranges. So thanks for listening. I'm going to pass you over to Jon, who's going to talk to you about supply chain.
Jon Parry: Thanks, Gareth. Good morning, all. I want to talk to you about 2 key elements of how we continue to strengthen our supply chain. Firstly, the introduction of our new Ellesmere Port import center, you'll see on the left of the screen there. So in support of our ongoing growth through new stores, we've just opened our new import center this week, and we'll continue to scale up to full strength across the next 10 to 12 months. The purpose of Ellesmere Port is to do a number of things: firstly, provide efficient general merchandise stockholding capacity upstream; also to enable a greater level of productivity and case throughput in our broader DC network downstream; and clearly have an element of control over network SKU deployment and volume alignment, which clearly drives a better efficiency across the network. So in summary, the purpose is to provide stockholding capacity upstream and efficiency downstream. Secondly, I want to give you a brief update on how we continue to drive network productivity and efficiency, ultimately removing reducing hours across both direct and indirect processes across the logistics network, whether that be warehouse or, indeed, transport operations. So over the last 2 to 3 years, we've been very focused on standardization across mainly our manual processes in both DC and transport operations through our Brilliant Basics program with really strong results, which you will have heard me talk previously to you in some of these sessions. And in tandem with that, we've been implementing and will continue to implement our automation and technology strategy across the supply chain. For example, standardizing processes with auto pallet wrappers and auto unloading of containers. Ellesmere Port at full strength will receive circa 75% of the total general merchandise container inbound volume. Through our new unloading automation and automated pallet put-away process through automated guided vehicles known as AGVs, it will enable us to take a significant number of manual operating hours out in the inbound process and reduce costs significantly. It will also open up the door to automate the remaining 25% of container inbound across the broader DC network as we implement unloading -- automated unloading across the rest of the network. We've also been busy implementing a new payroll and workforce management system, which is enabling the management teams on the ground to monitor and manage hours control far more effectively, whether that be in absence management or indeed lateness to really drive an improvement in productivity in direct hours. We're also in the latter stages of implementing Microlise, a well- known transport system, which optimizes our transport operations, removing hours and miles from the road in terms of the day-to-day transport plans. Finally, amongst other productivity improvement plans, we've also executed a new manual handling equipment fleet management system for our DC operations and the equipment inside, providing greater driver accountability and cost saving benefits. So in summary, these are all proven, functional, tried and tested solutions industry-wide that will enable us to lower costs, provide more efficient capacity to support the business growth, whilst enabling improved flow of goods resulting in better service to stores and customer availability. So thanks for listening. I'll now hand over to our Retail Director, James Kew, who's going to talk more about our stores.
James Kew: Good morning. I think it's quite well known that over the last 3 years, we've been focusing heavily on store standards and improving store standards for the customer. The focus of this has always been around driving available, clean and ticketed stores. It may sound very basic, but it remains crucial for us and will continue to be a top priority. You can see from the graph on the slide there that there is a direct correlation between the store standard score and the like-for-like that it delivers. So 8 out of 10 is delivering a 1.7% like-for-like higher than at 6 out of 10. I think now we've built a strong store standards basics. We can now focus on the commercial actions in the store. So we're looking to focus on driving ATV through secondary space trading, point-of-sale messaging more effectively to highlight product and also focus more on the execution and compliance of execution of activity that Gareth and his team set out for us to deliver. This financial year, managers' incentives have also been aligned to the points I've just discussed. So historically, they've been a bit more weighted towards standards. This year, more so than ever, they're now weighted towards like-for-like sales and like-for-like ATV. I think, additionally, with the work that Gareth and the team have done with FMCG, it allowed us the right space in the store to improve availability and ensure consistent availability of our best-selling lines. I think, finally, the better standards and particularly the FMCG work are supporting our back-of-house operations, too. In some departments, less SKUs means less volume going into the [ back room ] or less variation of volume going into the warehouses and allows us to hold better volume in stores. So it really is -- we've delivered what we do to standards. It's taken a few years to get there. 8 out of 10 is where we want to be. There's going to be no desire to push it beyond that, but it's now about the stores and being in the team delivering ATV and a good like-for- like for the year ahead. Thank you. I'll pass it back to Mike.
Mike Schmidt: Thanks, James. So just a couple of slides to wrap up our messages today. Looking Slide 22. At our B&M U.K. store expansion program, we opened 45 gross new stores. That translated into 36 net new stores in 2025. And we expect another 45 gross new stores in 2026. If you look to the 2023 to 2025 openings, the average payback continues to be sub 12 months. And if you look at the chart on the right-hand side -- or the map on the right-hand side, you can see the disciplined geographical distribution of our new openings. So spreading the openings across all areas to help support the store teams to help make sure that each new store we open performs in the right way. The performance of the new stores in varying locations and formats gives us continued confidence in our long-term target at least 1,200 B&M U.K. stores. A few updates now on B&M France and Heron Foods. B&M France, we've seen continued progress with our customer base in driving like-for-like sales, despite average selling price deflation also occurring on the general merchandise side. We've opened 11 new store openings across the country. Happy with how they are performing. And also we've introduced, very importantly for France, a new warehouse management system. That is the same warehouse management system we operate across the volumes in the U.K. network. And we now have infrastructure upgrades in terms of the warehouse size, warehouse footprint to support the future store rollout. Heron. The business experienced negative like-for-like and total revenue performance following 2 years of exceptional growth. So when you look at the total revenues of the business, 32.8% higher in 2025 compared to 2022. So across that 3-year period, very strong progression. 14 gross, 8 net new stores with the second half weighting. So we'll see some of the benefits of those coming through in terms of the total revenue performance this year. And there is ongoing work in particular to attract and build on the sort of the 3-year performance to attract more customers and spend by driving our when it's gone, it's gone proposition, which is core to the Heron Foods offer. So Slide 24, just to recap. 2025 was a year with challenges. We did face market headwinds from the wet spring weather, Easter timing, consumer environment, but our performance was also impacted by our FMCG execution and our choice around driving prices in general merchandise. However, our profit delivery was resilient, EBITDA up on a 52-week basis. As we look forward now, our approach remains focused on profitable and sustainable growth. That for us means volume-led growth from both like-for-like sales and new stores, and our actions to drive like-for-like performance in 2026 are underway. We see significant potential for the group ahead. We think we have a differentiated consumer proposition. Customers will carry on seeking out value, and customers ultimately continue to love us, if you can look at the recent press, as Gareth mentioned, and we're well set for what the trading environment might bring. The near-term cost pressures in 2026, we called them out, GBP 75 million of B&M U.K. are significant, but they're being addressed, and we will continue to maintain a relentless operating cost discipline as we've shown in 2025. We've got a robust balance sheet. So that's got limited, considered leverage, long-dated debt maturities and, ultimately, financial flexibility in there as well. And ultimately, alongside the operating progress and the financial discipline, cash generation and shareholder returns are paramount for us. Our capital-light business model supports this. We've had continued excess cash generation, GBP 2.1 billion over 5 years, GBP 1 billion over the last 3 years, 1/3 of our market cap. And of course, in addition, the redomicile process will unlock the option of compounding that value creation through buybacks. So thank you. I'll stop there, and I'll open up to any questions.
Dave McCarthy: You can hear me through this. Yes. Mike, I'm going to start with some online questions. The first one is that, can you reassure the market that there is no major profit reset likely to happen under the new Chief Exec, that there is no major price reset going to happen under the new Chief Exec.?
Mike Schmidt: Yes. So Tjeerd starts in 2 weeks' time, and he's going to spend time getting to know the business, be on induction, and he'll speak for himself in terms of prospects of the business. What I would say is you can see the resilient financial performance we've delivered in 2025. You can see how we continue to measure our price position. And you can see the price gap, the value perception from customers continues to be strong. And you can see that we've invested in the business appropriately. So we think we've got the right foundations in place, of course. As Tjeerd comes in, we'll be talking more about our strategic outlook. But clearly, we delivered a year of strong financial performance. And we believe that, that financial model is going to continue to be strong for shareholders in the future as well.
Dave McCarthy: Okay. Thanks. And I've got a whole bunch of questions asking about current trading. Can you just clarify our stance on current trading?
Mike Schmidt: Yes. So this should be no surprise for anybody who's been tracking our business. We think that the right way to look at the performance of the business is over longer-term time periods, and you have to track trajectory over longer-term time periods. We're not a steady state business. We operate across multiple different consumer segments. We do have customers that are distracted by macro events, distracted by weather, distracted by what's going on with government policy. And so what we do is we report our sales performance on a quarterly basis. That approach is unchanged from what we did last year, and that's what we'll continue to do. So we'll come back in July, and we'll talk about current trading in July.
Dave McCarthy: So no one can -- people can't read anything into the fact you're not making a current trading statement.
Mike Schmidt: There's nothing to be read in, either positively or negatively from the position on current trading. It's very much what we did exactly this time last year and what we've done for every single results update that we've given, Dave.
Dave McCarthy: Okay. Thanks.
Mike Schmidt: Jonathan?
Jonathan Pritchard: Jonathan Pritchard at Peel Hunt. Just on new stores. You talked about a variety of locations and formats. Could you just give us another level down and granularity and just explain just a few examples of what you mean by that? And if there are any biases in the FY '26 number? Are there a lot of larger, smaller, different types of store in that FY '26 45 gross number? And then not a dissimilar number on -- a question on France. Really, what's the property market like there? And what do you think the gross new store number will be there this year and next?
Mike Schmidt: Yes. Okay. Thank you, Jonathan. So James, I'll call on you just to add your thoughts at the moment. But as I look at the 2025 openings, as I look at any single -- one year of openings, there's always slight differences in terms of the nature of the portfolio that you've opened. I think if we looked at last year in particular, clearly, we've seen Wilko's demise put a lot of properties onto the market. And we've picked up a number of good locations on the back of that. So probably, a few more than would be normal in the year in shopping center-type locations or town center locations But likewise, we've also got a healthy number of retail park stores within that mix for the last year as well. As we look forward to 2026's openings, we've seen Homebase's demise, and we all know where Homebase has historically sort of traded from in those locations. And we picked up a good number of those Homebase locations that are probably larger footprint out- of-town stores. I think the bigger picture that I'd say is that when you've got a portfolio of 45 stores, the performance across those tends to blend in balance. And when I talk about being pleased with the variety of stores, we're seeing performance from shopping center stores, we're seeing performance from town center stores, we're seeing performance from retail park stores. James, any sort of operational comments?
James Kew: And I think this year, in particular, we've got some of the co-ops as well. So the stores that we wouldn't normally see in, say, the middle of a housing estate, Rossington is one that we've recently opened. And we've learned a lot from some of the Wilkos, what range to put in them, and they're exceeding expectations in those locations as well. And good for the brand because it's not necessarily where you would expect to see stores in the middle of a housing estate.
Mike Schmidt: In France, just to close that one off, Jonathan, 11 stores last year, maybe a dozen this year. So we'll continue to sort of push store openings in France. We're seeing good progress from the team there. I think the property market is similar in some ways to the U.K., where there will always be a steady availability of new units coming on stream. And then that might well be augmented. There might be more opportunities that come along from the demise of the national chains. And certainly, the French retail market continues to be a tricky one, I think, for local operators. And we see opportunities there.
Dave McCarthy: James?
James Robert Anstead: James Anstead from Barclays. Two questions. I don't think you've really given explicit guidance for profit for the year ahead, but you have acknowledged where sell-side consensus is and the range. There's obviously a specific number for consensus, the GBP 621 million, but the range is pretty wide. Are you pointing to that consensus number as being a reasonable starting point at this early stage in the year or just saying that somewhere in that relatively wide range is reasonable? And the second one is you also, I think -- partly by virtue of the answer to the previous question, I think you were saying that the 12% to 13% EBITDA margin we've become used to in recent years might be a stretch in the year ahead given all the extra costs that's coming in. Should we forget that 12% to 13% kind of margin medium-term guidance for the time being? Or is that something you think can be recovered in the next year or 2?
Mike Schmidt: Yes. Good question, James. Thank you. So I think you're right in terms of how you've characterized it, but we point to the fact that the -- we're aware of what the analyst consensus is, and we're not sort of pointing to or suggesting to the market that there should be anything different taken other than the analyst consensus number there. The -- this is an early stage of the year to be guiding. We don't guide at this stage of the year. We want to trade the garden season first of all and then come back and talk to people and give our outlook range specifically once we've traded garden and we're going into the golden quarter, okay? So we'll come back alongside the interims as we've always done, and we'll give an outlook range at that stage. I think what we're saying at this year is that we -- this year is we understand how you all are modeling those numbers and where you're getting to. There's clearly a significant chunk of costs coming into the cost base of the B&M U.K. business for Heron as well. For B&M U.K., GBP 75 million of additional costs across National Insurance on our workers, additional minimum wage and then on the EPR packaging taxes. And we will look to offset those. We're still saying and pointing to the fact that the profit numbers are very consistent versus what we've delivered this year. However, likewise, we're saying that we want to pass on as little of that to customers as possible and that we're working as hard as we can as we always do to offset those cost increases. And I think that sort of frames the -- all we want to say at that stage. I think if you do the pure math on a 12%, 13% range, yes, it does imply a number that's a bit lower depending on the like-for-like sales level that you're assuming. But certainly, as we deliver like-for- like sales and as we deliver volume growth, I do think that there will always be opportunities to drive more efficiency and to drive margins back up. So let's see how the consumer environment plays out over the next year or 2. Let's continue to progress our businesses proposition, and then we can update on that margin guidance in due course. Do you want to pass it over to Richard?
Richard B. Chamberlain: Richard Chamberlain, RBC. I think, Mike, you mentioned towards the start of the presentation that B&M saw a margin mix benefit last year within the general merchandise category. I wonder if you can give a little bit more color about which categories are you referring to deliver that margin mix benefit. And then maybe I know that the new CEO hasn't officially started yet, but could you -- clearly, there's a big focus on FMCG and so on in the business. But what other areas do you think you'll be looking at in his induction period? I mean, will it be digital, loyalty, point of sale, all of those areas? Any in particular do you think that need his focus in the short term?
Mike Schmidt: Yes. Okay. So just in terms of the margin comments, and Gareth, maybe you'll build on this a little bit as well, I think what we're just highlighting is that when you look across the general merchandise category, clearly, there's a whole range of product segments within that. So you've got the seasonal Christmas, you've got the garden ranges, you've got electricals, you've got toys, all those big categories within that number. And each of those have got different margin percentages based on ultimately getting to the right price for customers. And what we saw, in particular, was some very good performances from some of our seasonal categories from toys. And overall, when you look at the trends of the different departments, actually, some of the higher-margin ones actually stepped on most. And I think that was a helpful tailwind that we had across the year and something actually that gives us reassurance in terms of the price position that we have and the value we gave to customers. Gareth, anything you'd build on?
Gareth Bilton: I think the only thing I would probably add is it sell-through in the seasonal categories was good, so that helped the overall margin for the category. The bought-in margin for the range was achieved because we didn't have to mark a lot of the product down at the end. I think the other thing to point out is we showed the trading profile and general merchandise was healthy in margin, but also it helped the mix overall from the whole shop. So the category margin in general was buoyed by the general merchandise performance.
Mike Schmidt: Yes. And look, the question is coming up in a few ways, but I'm really not going to speak for Tjeerd and try and put words in his mouth. I think it's right for him to join the business for him to have a look around. He's had a lot of experience in a whole range of different international markets. He's had also experience across grocery, across general merchandise, in the discount retail segment. And so it will be great to get somebody coming in with a fresh perspective on the U.K. market. I'm sure he's going to be talking to the whole business and hearing the views. And he'll talk to you all about what his thoughts are in due course.
Bruce Hubbard: Bruce Hubbard from Lancaster. Simon always said that where you were different was that you would flex store labor aggressively such that you were resilient in bad times and less operational leverage in good times. You've certainly done resilient over the last 2 years when we look at the cumulative incremental cost increase. So my question is, has anything changed structurally? You weren't exactly famous for high cost as a start point. Have you had to dig really, really deep? And is there an end in sight to what you can do? Your March '26 conversation around consensus would suggest not.
Mike Schmidt: Yes. Thank you, Bruce. Yes, and look, I'd agree with you to say that there's a relentless culture, I think, within the business of spending as little as we can, getting as much from what we do spend as is possible. And I think James and the team do a great job of really driving that across the whole retail organization. Jon is clearly driving a lot through the automation piece as well. I think what's been helping us actually in recent years is some of the investments that we've been making in the business. So really, tools that help make jobs for colleagues easier and also in terms of the way that we're buying to try and make it as efficient as possible, to get products from factory gates in China from our manufacturers, FMCG manufacturers in Europe on to our shelves and ultimately through the checkout. And so as we -- we've made progress over the last couple of years, but certainly by no means do I feel that we're done. And whenever I talk to James, I'm always pleased to hear the number of ideas the team is working on, on little things that can be improved. Anything else that you'd add, James?
James Kew: No. I think you've covered a bit of it, but you do get a lot of natural upside from things like SRP as it moves more and more into that. The piece that Gareth discussed on FMCG, there's again a natural upside of efficiencies in stores, less products, more on the shelf. And we constantly review what we're doing in store and whether it adds value or not. And we'll be very quick to remove something if we don't believe it does.
Mike Schmidt: As much as anything, it's stopping doing things as well as adding more in. And when you say SRP, you mean?
James Kew: Shelf-ready packaging.
Mike Schmidt: Shelf-ready packaging. So that's very easy to just take it from a box and to put the whole box effectively right onto the shelf. Jon, anything you'd add on the distribution side?
Jon Parry: Look, I think we're on a journey, as I mentioned. We've standardized, we've taken a lot of hours out. Our management processes have enabled far greater levels in reduction of absenteeism. Our labor turnover has dropped from triple figures down to low single digits -- double digits, sorry. And so we're on a journey into automation, and that takes time. And it's automating processes end to end through the key elements of a logistics network. We're not going to do anything of fundamentally large scale like some of our competitors are because that's not right for us. But what we will do is invest appropriately in a capital-light way to drive hours out of the business, and it's working. So there's plenty more of that to be done.
Mike Schmidt: Thanks, Jon. I think Izabel has a question up at the front.
Izabel G. Dobreva: I have a couple of questions. Firstly, on food and then on general merch. So starting with food, you talked about SKU rationalization. So could you talk about which categories you're taking out? Why -- how did you come to this decision? And then secondly, you talked about chilled. Now in the past, I think you have made a point that you are not a grocer, that you focus more on ambient. So what is the rationale to putting more chiller storage? And I'll pause here before I come back to general merchandise.
Mike Schmidt: So Gareth, do you want to pick up the question on the SKU rationalization piece? But I'll just answer the chiller question first. Ultimately, I think the big message that Gareth delivered is that we're looking at our store footprint all the time, and we're seeking to drive sales density and also gross profit density per bay. And when we step back and we look at the performance of the chilled base, we're seeing incredibly high sales densities, incredibly high profit densities per bay. And we think there's the opportunity in terms of the ranging to give those products a bit more space, which makes them easier to shop for our customers. And where we're introducing that additional chiller space, I think we're seeing some promising returns overall.
Gareth Bilton: Yes. I think the other thing to add, it's not necessarily additional range on those additional chillers. In those big stores, the larger footprint stores, the sales from those chillers that are there are far greater than the current space can accommodate. So it's about growing the space into the range that's already there. And in terms of SKU rationalize, so we've undergone SKU rationalization across the entire range, general merchandise and FMCG. And it's about making sure -- it's always a balance, offering choice. So the range is credible without adding duplication, that adds complexity into Jon's world, and makes the shopping mission confusing for the customer. I think we were probably, over the last 2 years, increased SKU densities to a point. And as part of our FMCG reset and the general -- ASP reset in general merchandise, it was the right time to have a look at it to see where we were getting value and where we weren't.
Izabel G. Dobreva: Okay. And then on general merchandise, I think you mentioned the 20% price gap. When you compare yourself to other European discounters across Europe in general merchandise, is 20% the right level versus the volumes you want to drive? Or are you assuming in the guidance another year of ASP deflation in general merchandise?
Mike Schmidt: Yes. So I think the first thing to say is that we fundamentally -- that we focus on our own business. We don't benchmark ourselves purely against the retail businesses anywhere else in the world. Of course, we look at what's going on in the world. But ultimately, we are interested in our own business. And I think 20% discount versus benchmark pricing in the sector is a substantial saving for our customers. Though sometimes, it can be much greater than that as well. But ultimately, 20% gives customers a meaningful benefit. And I think we're very comfortable that, that's what's underpinned the model over multiple years.
Dave McCarthy: I've got some more questions. Over the last 5 years, you've acquired a reasonable amount of debt through bonds to what seems like to only pay for special dividends. Are you considering stopping these bonds to free up more easily reduce debt, possibly even do a share buyback and continue to build the French side of the business?
Mike Schmidt: Yes. So I think if you look to the business' progress over recent years, what we have done is reduced our levels of leverage within the business overall. We want to keep a very resilient and flexible balance sheet that actually allows the operating side of the business to sort of maximize its performance. I think, however, just because of the very nature of the business model, the capital-light nature of the business model, the cash generation that we see, we will always be generating excess cash. And I think having an appropriate low level of debt is efficient from a cost of capital point of view. We're very comfortable with the level of the debt that we have within the business. And clearly, that level of debt has freed up cash to return to shareholders through special dividends. And as we look forward, it frees up cash, be it, first of all, to invest in the French business and, of course, also to carry out share buybacks if that's what the Board ultimately chooses to do.
Dave McCarthy: What do you expect the interest cost to be in the current year?
Mike Schmidt: Yes. So I think we disclosed as part of the accounts all of the borrowings that we have. And so it's a mathematical exercise to work out what the numbers will be. There is an additional level -- an additional bond that we put in place November last year. However, I think that completes the program of extending all of our maturities in the current interest rate environment. And I think we feel well set with that long-term capital structure in place.
Dave McCarthy: The consensus of GBP 621 million, what is the underlying like-for-like assumption within that?
Mike Schmidt: I think that's a question really for the analysts rather than for me. I think what I'd say is in terms of what we think about is that we always plan for a positive like-for-like for the business. And I think that's where we're setting our plans and that's what we'd expect as we look forward. Back to the room. Ben?
Unidentified Analyst: Can we just go back to Izabel's question? She specifically asked about ASP and what that might look like in general merchandise next year. You've alluded to the middle class customers being quite strong growing. Is there a realization that whilst driving volume, albeit at the expense of ASP hasn't necessarily been the most profitable strategy in general merchandise given the extra costs you alluded to in terms of the extra volume further down the P&L and the cost of that? So I suppose my question is, how should we think about the range in general merchandise and these higher price points that you might introduce? What is it going to look like for the shape of the range?
Mike Schmidt: Yes. So Gareth, you can build on this, perhaps, but as we looked to the last 12 months, I think we're very comfortable with that decision to return value to customers through lower selling prices. It was the right thing to do as a discounter. We think, and we called out some examples, we think we've got pricing in the right place on general merchandise. And I think that's the overall message. But there is the opportunity to still continue to give customers phenomenal value, but grow our ASPs over the next 12 months. Gareth?
Gareth Bilton: Yes. I don't think it's necessarily about tailoring towards a more middle class customer base. That's -- although we see that coming, the decisions are made about ranging will -- when you buy in general merchandise, you're 12 months out. We made these decisions in October last year. It's about in our larger footprint stores when you measure sales density versus SKU density, when you try and measure SKU density from a 50,000 square foot box with SKU density in shelf, you end up with lots of duplication of products that are this big and GBP 2, which creates range duplication and confusing message to the customer. What we know is that we've got very good heritage in the areas such as indoor furniture, where we can still offer fantastic value for money in a 2-drawer wardrobe, which might be GBP 199 in the market leader, and we might be at GBP 129. It's still fantastic value for money, and it's still targeted at our main customer base. We've got good heritage in there. We moved away from it for all of the right reasons, and we see an opportunity now, in particular freight coming down, to move back into that. I think some of the other categories in homewares, what we've moved away from is bigger cube higher-priced products in favor of SKU density, we can move back towards. If I give you to bring it to life, our saucepan range, our volume growth in saucepans, in pans, in cookware is enormous because it's driven by single pans and frying pan at GBP 2. But we know that we've got a customer base and heritage in the pan set that's GBP 49.99 that might be GBP 100 somewhere else. So it's still very much targeting the same customer base, but it'll have a different shape and feel to the range. It's not about taking the prices that are working now and lifting them up. It's about the mix of the products that let customers trade into where we know: a, we've got heritage, and we can do well; and b, we see a moving shift in the market towards that.
Vandita Sood Chowdhary: Vandita Sood from Citi. I just had one on the Poundland stores. If you could maybe compare your estate with Poundland versus Wilko or Homebase. Do you see any incremental benefit more or less than you've seen before and if you're planning to acquire some of the stores? And secondly, just on gross margin. I know you don't guide to gross margin. You've talked about your cost headwinds. But everything we look at suggests that gross margin should improve this year with the freight capacity in China, and you've talked about your pricing. So is there anything we're thinking about that will offset that gross margin this year? Or do you think mostly that's a tailwind for you in the coming year?
Mike Schmidt: Yes. So when I think about the negotiating environment, and I keep on reminding Gareth of this, I think there are a number of tailwinds that we can really press on and we can push on. And I think there's clearly dollar benefits. We hedge 9 to 15 months ahead. And so as we look at the rates we've got locked in, that's favorable year-on-year. We've got a very good relationship with our container shipper. And we obviously have good conversations with them about how we can bring across as much volume as possible for as little cost as possible. And so that should be helpful. And ultimately, also, factories in China want to work with us. They can see the volume that we're moving and the way that we're growing. We're growing in terms of our total sales growth, total units, total volumes, as we've called out on the slide, and that's all being significant. So I do think, as we look forward, there's going to continue to be a tailwind. I think alongside that, we think we've got pricing in the right place relative to the benchmarks. Pretty excited about the range we've got as we look ahead. But finally, as a discounter, we're always going to be relentless about giving best value to customers, and that's just a point that we're all passionate about is making sure that we give customers the nominal value. And that's what they enjoy, that's what keeps them coming back. And so we'll be balancing all of that across the year. We've certainly read with interest how others in the retail sector as a whole are looking to push up gross margins. We can see why they need to do that. Certainly, what we're going to do is look to offset as much of the operating costs as is possible through our own actions. And then, ultimately, I think as we already touched on, we've got a view in terms of where profit levels will be and where analysts are expecting profit levels to be. Poundland, I think it's a very sort of specific question there around Poundland. Clearly, we monitor all that goes on in the retail market and all retail properties that potentially may become available and where there's an attractive store location if we want to get into. We've got a very strong covenant, very strong reputation with landlords that we'll use to sort of try and secure access to those locations. And I think, generally, directionally, it's good news if there's more stores coming available in terms of driving those terms with landlords. I think in particular, being specific about Poundland, more of their stores will probably be in smaller footprint sizes and in particularly sort of tight town center locations. And those don't tend to be the first place that we go to look for new stores. And so I'd say there may be an opportunity, but it's probably more around the edges there.
Dave McCarthy: And Mike, the last question online. Any comment on quite the dumping of goods from China onto the U.K. market? Is it happening? Are we beneficiaries? Do we lose? Any comments, please?
Mike Schmidt: So the short-term is -- short comment is there's no comments really. This is big as yet. We see the press headlines. We haven't seen much around that. Gareth, anything you'd say?
Gareth Bilton: I think the sentiment in China is fairly uncertain. It depends who you listen to. If you listen to the Chinese government, their stance is very much that there's enough capacity in China to absorb that stock, and it won't be going anywhere else. But internally, when you talk to the factories, some of them are a little bit concerned about volume orders going forward rather than the stock that's there now. But there's no indication at the moment, I think, that there's going to be a massive import of goods from China into Europe. I think what's probably helped is the tariffs that have just been opened up. A lot of vessels that were U.S. bound turned around and on their way back. So I think, probably, we've alleviated some of it.
Mike Schmidt: But ultimately, if you want to place large volumes into the U.K. market and general merchandise, I think one of the first people you really should call is us. And so that's what I can say. One more question on the front. Can we just do one last one?
Fintan Ryan: Fintan Ryan from Goodbody. Just one question really on the free -- the building blocks around free cash generation for FY '26. Appreciate some of the incremental investments going in behind the supply chain specifically. Should that mean that CapEx spending should -- along with just more stores, CapEx spending should creep up over time? And just again, related to that to free cash, any views around working capital on how you expect that to come in at year-end? Also appreciate it can be a function of sales, but some initial views, please.
Mike Schmidt: Yes. So just thinking about CapEx overall, you saw the total spend for 2025 being lower than 2024. That's despite incurring roughly half the cost of the Ellesmere Port opening and fit-out in the 2025 financial year. And so clearly, I think that's a sign that we as a business are investing where we think it's appropriate. But also, we think we're investing at the right -- at around the right levels at the moment. If you went back over the last few years, we've been in that 1% to 1.2% band of revenues, and I think that's a sensible benchmark based on what we have as a business model today. The working capital piece, clearly, what you see in terms of the movement is a snapshot of the position at year-end and that can get distorted by one-off timing effects. I think in terms of an underlying trend, though, for us as a business, I think we're pretty comfortable that we've got good amounts of stock on the shelf at the moment. We've got resilience built in, in terms of shipping disruptions already. And I think directionally then, for any retailer, you would really expect working capital to be moving in line with the sales growth -- total sales growth for the business. And I think that's a sensible starting point in terms of how to think about things.
Dave McCarthy: Good. Thank you all very much.
Mike Schmidt: Excellent. Well, look, thank you all for joining us. And we look forward to speaking to you more about the 2026 financial year as we start to execute all of our plans. Thank you.